Operator: Good afternoon. We welcome you to The Navigator Company Third Quarter '24 Results Presentation. [Operator Instructions] I now hand the conference over to Ana Canha. Please go ahead.
Ana Canha: Ladies and gentlemen, welcome to The Navigator's Company conference call and webcast for the third quarter and 9 months results. Joining us today are the following Directors; Antonio Redondo, Fernando Araujo, Nuno Santos, Joao Le, Dorival Almeida and Antonio Quirino Soares. As usual, we will start with a short presentation followed by a Q&A session. You can access the presentation through the links on the website and you can also send in your questions via the webcast platform. Antonio will begin by presenting the main highlights of the quarter. I will now hand over to Antonio.
Antonio Redondo: Thank you for joining us today. I'm very pleased to be here once again and to share with you our third quarter and 9 months result. As you will see in today's presentation, Navigator has once again proved to be in a unique competitive position in Europe in terms of the efficiency with which it manages mix of businesses and within each business, its products and market needs. Navigator has consistently shown flexibility in adapting to different market dynamics, focusing on value creation, growth and diversification and once again replicating itself. I will start with Slide 4 for a global overview of the year so far. We anticipated back in May that this year's typical seasonal slowdown in pulp and paper markets will be more pronounced than usual, which led to a decline in new orders during the third quarter. Despite this slowdown, the third quarter results proved robust, thanks to the growing significance of new business segments, in particular tissue, which has shown strong growth and performance along with resilient prices in paper, packaging and prices. Navigator ended the first 9 months with a total turnover of EUR 1,569 million, up 7% year-on-year. 9 months EBITDA reached EUR 431 million, with an EBITDA margin of 27.5%, enabled by leading price increases, volume growth in most businesses and proactive management of mixes; product, brands, customer and geography, and continuously as well focusing on cash cost management. In fact, there was again a significant cash cost reduction in this quarter, with the first 9 months presenting an accumulated year-on-year reduction of between 4% and 12%, depending on business segment. Ongoing efforts to control costs have resulted in cash cost reductions of between 20% and 30% versus the peak level recorded in late 2023. In spite of this effort, we are still operating with a cash cost base above pre-pandemic levels. We continue to focus on our diversification plan. Following the successful acquisition of Accrol in the second quarter, we are now working on the integration process, which is running smoothly. We also continue to diversify our packaging business, expanding our customer base to existing and new applications, in particular, in the flexible packaging segment. As mentioned previously, these new products and final product applications were launched during 2023 in an extensive test and introduction program with customers, and we are now generating more significant sales volumes. We are also happy to announce that Navigator has started production at its new industrial unit for molded fiber packaging in Aveiro. This is not only the largest operation in Europe, but also the first in the world to produce this type of packaging in a vertically integrated unit using eucalyptus fiber. Keeping conservative financial policies, the net debt-to-EBITDA ratio stood at 1.16, further consolidating the financial strength displayed by the group. My colleagues will give more detail on the performance of the individual business. Fernando will start with financial highlights. Fernando, please go ahead.
Fernando Araujo: Thank you, Antonio. Turning to Slide 5. Moving on to the financial highlights. Net profit stood at EUR 241 million, up 20% year-on-year. CapEx totaled EUR 151 million, of which approximately 53% was classified as value-added sustainability, ESG investments, making a very positive contribution to reduce future costs. Net debt increased by EUR 150 million since year-end 2023, representing only 1/3 of the main flows in the last 9 months, namely the payment of EUR 150 million for Accrol acquisition, the distribution of EUR 150 million as dividends and the strong level of CapEx of EUR 151 million. Later in this presentation, we'll demonstrate the company's balanced debt profile and liquidity. Turning to Slide 6 with the quarter highlights. As mentioned, this quarter, the pulp, paper and packaging industries in Europe experienced a seasonal slowdown. Nevertheless, the first 9 months and quarter results were strong. EBITDA stood at EUR 133 million, with an EBITDA margin of 26.3%. Volume of paper sales was down 14% quarter-on-quarter and by 1% over the same quarter in 2023, despite a strong than normal seasonal slowdown in Europe due to the growth in overseas business and packaging volumes. Pulp sales were up 35% quarter-on-quarter and down by 38% on quarter 3 2023. Tissue sales were up by 12% quarter-on-quarter and up by 52% on Q3 2023, driven by dynamic demand and the new capacity of Navigator Tissue U.K. in the part of Accrol. Turning to Slide 7. We can take a closer look at the main impacts on EBITDA in a year-on-year comparison. Lower market price in uncoated wood-free packaging and tissue more than offset by higher sales volumes and decreased cash costs, namely wood and chemicals, but also packaging and freight costs. When compared to the same period in 2023, as Antonio mentioned, there was a significant reduction in cash cost of between 4% and 12% in all pulp and paper segments; printing and writing, tissue and packaging. Total fixed costs ended up higher than in the same period last year due to the inclusion of Navigator Tissue Ejea and Navigator Tissue U.K. units and employee profit-sharing, as well to higher redundancy costs under the workforce resumation program and non-recurring costs related to the Accrol acquisition. Quirino will now comment on Page 8 on pulp and paper prices. Quirino, please?
Quirino Soares: Thank you, Fernando. Moving to Slide 9. We see the evolution of pulp and paper prices. The first 9 months of '24 closed with the benchmark index for hardwood pulp, PIX BHKP in dollars at $1,261 per ton. The third quarter, however, brought a sharp correction in prices in China with a knock-on effect in Europe, although at a lower price [Technical Difficulty]. This volatility in the pulp price contrasted with the resilience in benchmark prices for printing and writing paper. In fact, the benchmark index for office papers in Europe, PIX A4 B-copy, stood at EUR 1,109 per ton at the end of September and has held very steadily since the start of the year, with plus 2% with a very slight correction of 0.2% in the third quarter. The Navigator's average price for printing and writing products has increased by 5% since the end of 2023. Moving to Slide 10, please. We have summarized the main developments in printing and writing papers and uncoated wood-free papers. Global apparent demand for printing and writing papers grew by 2.6% year-to-date August, the last information available across all segments, with uncoated wood-free growing by 2.4%, as well as coated wood-free papers growing by 2.4% globally, whilst mechanical papers experienced growth in demand of 3.8% in the world. In Europe, the apparent demand for uncoated wood-free paper recorded strong growth of 11% over the first nine months of the year, with the folio sheets segment for the graphic industry as the top performer at plus 15% year-on-year, followed by office paper, up by 11% and reels for the converting -- for the paper converting industry up by 9%. Demand in the United States has shown significant resilience and hedged down by nearly 1% until August, whilst China recorded growth of more than 5% January to August year-on-year. Operating rates in the industry adjusted downwards in the third quarter in response to the usual seasonal factors. Navigator also eased off the pace of production during the period, leading to an average operating rate in the first 9 months of 87% that compares with the European industry average of 82% in the quarter. As I've just mentioned, the benchmark index for office paper prices in Europe remained resilient with a 2% increase since the beginning of the year, while Navigator's average price for printing and writing products has increased by 5% since the end of '23. In challenging markets and periods, own brands and high-value segments provide extra protection for Navigator's results. In fact, premium product sales increased its share of uncoated wood-free business this year, while new brands share kept its record high levels. Now, Nuno will give you some more context on the market outlook.
Nuno Santos: Thank you, Quirino. Turning to Slide 11. As Quirino just mentioned, the third quarter brought a strong price correction in China, with impact in Europe at a more moderate pace. On the demand side, in Europe, both consumers performed well, especially in printing and writing and packaging paper industries, with uncoated up 11% year-on-year in the first 9 months and tissue up 7% year-on-year until July despite the usual seasonal slowdown observed in Europe. On the supply side, new capacities in Chile and Uruguay, which started in '23 and the start-up of new production capacity in '24 in Latin America and China, both led to a gradual increase in supply, especially over this period, putting downward pressure on prices. Global demand in the first 8 months fell by 1% for bleached chemical pulp, while demand for hardwood pulp grew by 0.5%, with eucalyptus pulp growing by 3.7%, all these figures year-on-year. It is worth noting that worldwide eucalyptus pulp represents almost half of all pulp in the market and more than 75% of hardwood pulp. In August, stocks at European ports stood at 1.5 million tons, in line with the historic average for the past 5 years. In China, pulp stocks stood at 1.7 million tons in September, just below the historical average for the past 5 years, which is 1.8 million tons. Looking now at tissue performance on Slide 12. Demand for tissue paper remains strong, up 5.8% in Western Europe and 6.4% in Europe until July, boosted essentially by the recovery of the away-from-home segment and growing household spending power. Navigator's tissue sales were up by 53% year-on-year, driven by the additional capacity provided by Navigator Tissue Ejea as from the second quarter of '23 and by Navigator Tissue U.K. as from the 1st of May of '24. Sales outside Portugal and tissue business accounted for 78% of turnover in the first 9 months. Sales broke down into 97% finished products and only 3% reels, representing an improvement in the mix of 3 percentage points year-on-year. In terms of client segments, at home or consumer retail, business has grown and currently accounting for around 80% of sales, while away-from-home and wholesalers account for the remaining 20%. Commercial performance by mill brands was again noteworthy, with Amoos ranked as the fastest-growing brand in terms of penetration in Spanish households last year in '23, in the household consumable segment by Kantar Brand Footprint, which surveys the brands most popular with consumers. With penetration up by 57% in comparison with '22, Amoos brand has increasingly found its way into Spanish homes. This award has consolidated the strategy of this mill brand, which has been to invest in innovation and visibility, building up its position in the Iberian market and continuing to grow alongside its consumers. The company's mill brands grew by 38% in relation to '23, including figures from Navigator Tissue U.K. You can see on the Slide 12, bottom right -- on the bottom right, pictures of our Amoos products on the right side and also pictures of our branded products in the U.K. includes our Elegance and Magnum brands and also Flash, our licensed products from Procter & Gamble. Dorival will now comment on the main developments in packaging.
Dorival Almeida: Thank you, Nuno. Now turning to Slide 13. After a promising first half, the third quarter confirmed the tendency for recovery and stability, with robust and consistent demand. Navigator's sales volume more than doubled year-on-year, as Antonio already mentioned, with 70% of our sales in Europe mainly in Iberia, Italy and France and the remaining 30% in overseas markets, where Turkey and North Africa are our leading markets. This performance has been supported by the investment in innovation and market trials into several new applications, above all in the segment of flexible packaging. These applications were launched during 2023, and are now generating more significant sales volumes. Indeed, looking at the breakdown of sales by segments, since 2023, we have successfully reduced the segment's dependence on bags, strategically increasing sales in the flexible packaging and box, rigid packaging segments. This change has enabled us to diversify our portfolio and position ourselves more strongly on the market. The Flex segment has expanded significantly and currently top sales at 47%, whilst the bag segment, gKRAFT BAG decreased its percentage in the total sales portfolio to 46%, although recording strong growth in the sales volume, up by 50% year-on-year. Navigator has, therefore, continued to broaden its customer base, which already numbers close to 300 clients in a sales operation, 100% based on its own brand, gKraft. Let's turn to Slide 14 to follow on the molded pulp project. As Antonio mentioned, this quarter, the new industrial unit in Aveiro for molded pulp packaging started production. The new mill has a production capacity of around 100 million pieces a year and is currently the largest in Europe. Production starts with 3 product lines for single-use applications in the food sector, which are fully recyclable and/or compostable. Tableware as plates, bowls and cups, takeaway as takeaway packaging for the food retail and HORECA channel and food packaging as laminated pulps for meat and ready meals, boxes for fruit and vegetables. These products offer production flexibility and scalability for exploiting the various opportunities opening up for replacing single-use plastics and aluminum. Alongside this, work has proceeded on developing new molded products in partnership with national and international clients and/or researching and developing new sustainable barrier property solutions, as well as trials of commercial products. This new avenue for growth falls within our responsible business strategy, whereby we are seeking to contribute to a more decarbonized society, harnessing the crucial role of well-managed planted forests in the transition from a linear fossil model with no future to a circular bioeconomy model, which is carbon neutral and eco-friendly. The first molded pulp piece by The Navigator Company hit the market this October. I will now hand over to Fernando, who will comment on our financial position.
Fernando Araujo: Thank you, Dorival. On Slide 15, debt maturity profile. As I said at the beginning of the presentation, I will now summarize the profile of our debt. Over the first 9 months of the year, Navigator repaid debt of nearly EUR 100 million and at the same time, take on significant volume of new long-term financing, namely 3 new long-term finance facilities maturing in 5 years, 6 years and 7 years with a value of EUR 300 million not fully disbursed yet. In addition to the long-term finance available from the European Investment Bank with a value of EUR 115 million, we also have available unused long-term commercial paper programs of nearly EUR 128 million. As a result, Navigator continues to enjoy ample liquidity above EUR 530 million, an appropriate level of average debt maturity, with rationally staggered repayments and approximately 60% of total debt tied to sustainability versus 40% last year and with 93% of total debt issued on a fixed rate basis, enabling us to maintain low financing costs. It should be noted that despite the new facilities contracted, incorporating higher market interest rates, our average cost of financing at the end of September remained low at approximately 2.3% versus short-term market rates of around 3%. I will now hand over to Joao.
Joao Cabete Goncalves Le: Thank you, Fernando. If you please turn to Slide 16. Aware of the need to manage natural resources responsibly, Navigator has made remarkable strides in its contribution to management of Portugal's forests that I would like to highlight today, namely by setting up the Forestry Producers Club. Since November 2023, this club has grown, surpassing 320 members, representing combined turnover of more than EUR 435 million and accounting for more than 2,230 direct jobs. This club is pioneering a unique program for strengthening relations with its partners and making an important contribution to a significant increase in Portugal's forestry yields and wood output by disseminating sustainable and active management practices in the country's woodlands. By increasing the area of land in Portugal on which best forestry practices are applied and all certification requirements are complied with, the project will bring benefits that extend well beyond the stronger eucalyptus sector. It will also contribute to lower fire risks, less CO2 emissions, increased biodiversity with more conservation areas and to a more dynamic economy in inland regions of Portugal. As part of these cooperative efforts, Navigator has this quarter established new partnerships with Credito Agricola, Galp and Interprev, in order to promote and strengthen an economic environment more favorable to Portuguese businesses in the agro-forestry sector. We seek to reinforce our strategy and our ability to conduct our operations successfully and sustainably by building partnerships with different stakeholders and cooperating with organizations that share our values, creating a positive impact on society, the climate and nature. I will now hand over to Antonio.
Antonio Redondo: Thank you, Joao. Let's please turn to Slide 17, with a wrap-up of the Q3 9 months results. First 9 months recorded a strong performance. By focusing on efficiency and cost management, we achieved a significant reduction in cash costs across all pulp and paper segments, printing and writing, tissue and packaging by 4% to 12% year-on-year and by 20% to 30% from the peak levels of late 2022, although they remain higher than the pre-pandemic levels as it was already referred. The resilience in prices for printing, packaging and tissue paper, along with growing share of new business segments like tissue and packaging has enabled us to achieve strong results. We maintain our focus on the core business, as well as in business transformation and innovation, and our value-added CapEx reached EUR 150 million in the first 9 months. 53% ESG investments aiming at environmental and decarbonization projects that also have a positive contribution to reduce future costs, but also expansion CapEx with our packaging business. We pressed ahead with our diversification plan. This quarter, we successfully proceeded with the integration of Navigator Tissue U.K. Our packaging segment continues to invest in new developments on paper products. Sales volume more than doubled, boosted by 2023 flexible packaging launches, the investments that are now generating more significant sales. And we started this quarter an innovative unit for integrated production of molded pulp packaging, designed to replace single-use plastic packaging in the foodservice and food packaging industries. Our sound financial position allows us to consider opportunities for debottlenecking in our core business, investing in efficiency and innovation and pursuing environmental and decarbonization actions as already mentioned. The strong CapEx of EUR 151 million underscores our commitment to value-added investments in the sustainability of our operations, while maintaining the consistency of our conservative financial policies and maintaining our sustainability and investment commitments. Let's move on to Slide 19 with a few words on the outlook. The fourth quarter got off to an unstable start, marked by escalating geopolitical tensions and disappointing macroeconomic, mainly in Europe. The polarization and uncertainty surrounding the U.S. elections have very serious implications for global stability and significantly reduced short-term visibility. However, macroeconomic forecasts remain conservatively optimistic. In the sector, namely for pulp prices in China, we are expecting to recover after bottoming out, in combination with the post-summer season of higher demand. This could lead to a degree of recovery starting in Q4 and through early next year. A Latin American player has announced a 4% reduction in production. Additionally, 8 production lines in the region will undergo maintenance stoppages in Q4, leading to an estimated capacity reduction of approximately 670,000 tons. Additionally, a player has announced plans to switch hardwood production from paper grade to dissolving pulp in Q1 2025, which will remove a further 300,000 tons of paper pulp from the market. In the paper segment, we are heading into the strongest seasonal period of the year, which starts in September, October and lasts until March, April. This seasonal improvement is already being noticed, with the order inflow going from 65% of European capacity in the Q3 to 80% in recent weeks. In addition, in the coming months, the announcement of 2 mill closures in Europe, with a combined capacity of 350,000 tons will be realized, representing 6% to 7% of total installed capacity that will be out of market. These anticipated changes and the supply-demand balance, combined with the level of cash costs still higher than before the pandemic, will continue to sustain price levels in Europe and international markets in which we operate. In the tissue segment, demand continues at interesting levels, with a growth of 5% to 6% estimated for Europe in 2024. In this segment, Navigator continues to leverage synergies driven by business growth, particularly with the acquisition of Navigator Tissue Ejea last year and with the new acquisition, Navigator Tissue U.K. last quarter. Business diversification through tissue and packaging operational flexibility -- sorry, business diversification through tissue and packaging, operational flexibility between paper and pulp and within different types of paper, the dynamic management of the different mixes within each segment, production adjustment and an efficient commercial strategy, combined with rigorous programs to control costs as well as the company's strong financial position have enabled us to deliver consistently strong and stable results in changing market context. We are confident that all these factors in parallel with the continued development of both our tissue and packaging businesses will continue to point to the resilience of Navigator's model. Thank you.
Ana Canha: Thank you, Antonio. This ends our presentation. We are now open for the Q&A session.
Operator: [Operator Instructions] And our first question comes from the line of Bruno Bessa from Caixabank BPI.
Bruno Bessa: I have two, if I may. The first one on paper prices. You mentioned an improved outlook in terms of demand and backlog for the fourth quarter and also some capacity closures that took place in the year and still expected to take place until the end of the year. Is it reasonable to assume that you might be announcing a new price increase for paper until the end of the year? So, this will be my first question. The second question. The London Pulp Week is around the corner. Just trying to understand what are your expectations about that event and the feeling that you have from your clients and other intervenients in the industry about this event? I'm specifically referring to the mood ahead of that event.
Antonio Redondo: We'll go Quirino to speak deeply about paper prices and to Nuno to speak about London Pulp Week. We are bold, but responsible. So, I think it's going to be hard to anticipate that in spite of a good recovery on demand that we are seeing and forecasting for the remaining of the quarter, with pulp prices achieving the bottom in China, but eventually not yet achieving the bottom in Europe that might happen by the end of this year. It could be probably too bold, but a bit irresponsible to announce a price increase. So today, we have no plans yet to do it. But obviously, we are vigilant. And if the situation changes, we'll adapt accordingly. Around London Pulp Week, we are coming with a positive expectation in the sense that we see already some demand recovery in China. We do believe that prices in China have bottomed. We see customers in Europe with a dynamic situation with a good demand so far, and we are positive for next year. But you know that in this business, sentiment drives a lot of decisions and very often sentiment changes from week to the other. Anyhow, we are leaving to London with a positive stance on the near-term evolution. Quirino and Nuno?
Quirino Soares: Thank you, Antonio. Thank you for the questions. We have indeed increased prices in Europe. [Technical Difficulty] We are just now starting very -- normally the strongest period in the year. So, Q4 and Q1 are the best 6 months in a row in terms of demand in the Northern Hemisphere. So, we are seeing our order intake improving, but only taking, as I mentioned, around 80% of industry capacity. So, we need to see where demand evolves. We need to see also the impact of the closures, which will take full impact until the end of this year. And actually, one of them is actually in the first quarter of next year. But we should not forget that while we increased 5% our prices, the average in the sector was around 2%. So as Antonio mentioned, we need to remain vigilant to see where it ends.
Antonio Redondo: Nuno?
Nuno Santos: On the London Pulp Week question, so I fully agree with Antonio’s view. I think the worst is behind us because there was a big tension, let’s say, by the end of Q2 and during the Q3 that led to the price correction that we all know. I think currently, let’s say, the price is at its bottom and no big tensions expected between buyers and sellers. We are looking forward to a better year, let’s say, a recovery from the Pulp Week onwards.
Operator: Our next question comes from the line of Enrique Parrondo from JB Capital.
Enrique Parrondo: I have three, if I may. First one related to short-term outlook. Wondering if you could share your views based on pulp and paper trends that you recently shared on how this should translate into your sales volumes for the fourth quarter. Second one is on paper imports from Asia. Looking at recent data published by the RISI, it looks like imports have increased in recent months. So it would be interesting to have your view on possible risks from this, especially considering that the entry into force of the EUDR looks like it will be delayed at least 12 months. And final one as a follow-up for my colleague on paper prices. In fact, other companies in the sector, I guess, that have pointed out that they have seen already some price erosion in the third quarter for uncoated fine papers and that this could extend. So you're not seeing -- you commented that you're not seeing any -- at this stage, any room for price increases. But could it be the opposite the fact that we could see some price declines already in Q4 or into the beginning of early next year on the back of the pulp price declines?
Antonio Redondo: Okay. Thank you, Enrique. I will also make some introductory comments and again pass to both, Quirino and Nuno to give further detail. Regarding your first question on our short-term outlook for pulp and paper, so let's start with the paper. As it was expressed, we are starting now what is typically overall, not only in Europe, globally, the season with the highest demand. So, we always see an uptick in Q4 and Q1, and we are expecting that. And I also mentioned during the call, we already see that in order intake into Europe. And obviously, in a situation where there is a secular decline of consumption. So, I will not give you precise guidance because I can't say because we don't know. But I think we could expect to see volume-wise recovery in paper vis-a-vis Q3 this year and Q3 last year and probably going to levels similar to what we had in Q2 this year and Q4 last year. So ballpark figures, it will be somewhere in the middle. Pulp is more difficult to give you insight because, as you know, we have a stable business of pulp and then it goes up and down in relation with what is the integration in packaging, tissue and uncoated wood-free. So if we are expecting higher volume of packaging, higher volume of tissue and higher volume of uncoated wood-free, what we will have to sell as pulp is our baseline of pulp, and we don't plan to be much more than that. We actually -- our level of stocks are usually very low, and they are very low, probably lowest than typical they have been at this time of the year. And the levels of stock in the industry, as you also know and was shared in the call is also low. So, positive evolution we expect on paper packaging in tissue and the balance will be market sales of pulp. Regarding imports from Asia, indeed, we see actually a surprising increase of imports from Asia into Europe. We were not expecting such level of imports. But at the same time, we saw a significant reduction from other regions of the world, Americas, North and Latin America, Asia -- sorry, Middle East. And of course, Russia, that was a big exporter and now is basically 0. So the overall increase is probably lower than the increase that we are seeing from Asia. And you mentioned that it is very interesting, EUDR. When we speak with our customers and for sure, you can put a lot of monitoring into this, our customers do not seem to trust much to put their bets in Asian importers exactly because they know that EUDR is not now, but it is around the corner. So, I think this is going to do what we intend to do, which is to protect European producers. Regarding prices, we don't see an increase, but also we didn't saw an erosion. In our core markets, you can always have increases of -- or slight increase or slight erosion because of the mix. If you sell more reels and less sheets, prices typically go a bit down, but it does not mean that margins go down, might be even better, but prices go down. If you sell a bit more in overseas and less in Europe, average prices might go down, but probably our logistic costs will decrease as well. So, margins will not go down. So we don't see an erosion in Q3, and we don't see an erosion in Q4. Actually, the 2% that Quirino mentioned, what has shown is that we are operating now in the uncoated free market in Europe, but it's not very different in the States as well and a very stable price environment. Let's not forget that although we have been decreasing our costs, we, and I believe our competitors as well, we are operating still above pre-pandemic levels. So the space for price erosion is very limited. But I will ask both Nuno and Quirino to add further details.
Quirino Soares: Just a few comments. Completely aligned with what you said, Antonio. Imports indeed increased, as you mentioned, probably above what we expected a few months ago. But in fact, it followed the market increase. So, what really counts is the weight or the share of the imports on the market consumption, which is pretty stable compared to last year, actually. But of course, Asians gained a little bit more share. It's not really significant in terms of share. Going forward, we know that there are some capacities starting up in China. We don't expect this to be too much in Europe. It's not really commissioned. It's not really -- we believe in their core market, which on top of that, as also was mentioned, the EUDR places here a lot of clouds and customers actually. Before it was postponed, we saw a lot of anecdotes of customers being actually incentivized by the Asian suppliers to buy ahead of the possible implementation of the EUDR towards the end of this year of 2024. So, this has been postponed. We don't see an uptick in the recent months. So, I think this is sort of a current run rate, which probably will last for the next few months. And then after the EUDR, we will see.
Nuno Santos: Just a couple of few comments. To just confirm, I think what Antonio and Quirino just described is the view of all of us here. So, I confirm -- on the EUDR, I just want to also restate, as you know, it's meant to protect a policy or measure against deforestation and of course, the companies that are fulfilling and have a more sustainable and responsible, let's say, production processes and operations with a TMD benefit. And I think all of us know who these companies and producers are. And so this is it. I think the only thing I could also add that also similarly on the tissue side, the imports from Asia are more or less in line with what Quirino described for paper and coated-free.
Antonio Redondo: Let me just add something to go on this direction of EUDR. The sustainability practices of European producers are heavily scrutinized by independent bodies and by customers. The carbon footprint of our operations serving Europe from Europe, within Europe, so with a significant lower carbon footprint than bringing goods from abroad. The overall geopolitical instability that we are seeing and that unlikely will be reduced in the near future is probably moving some of our customers, might be customers of pulp, customers of paper, customers of tissue from a policy – a supply policy of just in time to supply policy of just in case. And I think they will nurture the European suppliers they have by the overall effect that I’ve tried to describe.
Operator: Our next question comes from the line of Luis de Toledo from ODDO.
Luis de Toledo: I'd like to make two questions. The first one, referring to the energy policy, self-consumption. You referred to your flexibility, your integration. I was wondering if your new capacities affect that flexibility going forward? And how should we expect this activity for next year? Are you expecting to maintain your current regime -- operation regime? And the second question will be regarding incentives. I don't know if there's been any development, any material development over the last quarter.
Antonio Redondo: Luis, I'm so sorry. I think I understood the first question. It's about energy policy and the flexibility that we have expressed if this will imply any changes next year. Did I got it right?
Luis de Toledo: Yes. Correct.
Antonio Redondo: But I'm so sorry, I didn't understood your second question. Are you so kind to repeat?
Luis de Toledo: Yes. The second question would be referring to incentives. In the past, you've mentioned your expected incentive rate of around 40%, although you have not received much funds. Obviously, some of them will come at the completion of the investments. I don't know if there's been any new development with regards to the incentives that you might receive from your sustainable investments.
Antonio Redondo: Okay. I will make two introductory comments, and I'll ask Nuno to comment on energy and Fernando to comment on incentives. On energy, no, we don't expect any change on our policy. But let's not forget that our policy implies that while we have feed-in tariffs guaranteed, we typically sell the energy into the marketplace, into the grid, and we buy energy from the grid. When those feed-in tariffs are exhausted, we typically change to self-consumption of energy from those units. And indeed, next year, we will have that case. We'll have some installations that we'll move from feeding into the grid to self-consumption because we exhaust the feed-in tariffs. Regarding incentives, the incentives that we referred at around about 40% are within the EU next-generation funds. They will be paid, some of them ahead, some of them in completion of the projects. The projects will be completed -- the majority of the projects will be completed until end of next year. So, we are in line with all the projects. We don't have any project that is behind or significant behind. So, we expect by the time we conclude those projects to have the full reimbursement of the values that we have announced. And we have announced around about EUR 100 million for a bit more than EUR 250 million of CapEx within EU next-generation funds. So, I'll ask Nuno and Fernando to comment further.
Nuno Santos: I think this is exactly right. So in terms of our -- 2 comments on the energy side. First of all, next year, we would expect to have less 10% to 15% less sales of energy because it's a better optimal operating model. And second thing that's maybe worth mentioning is that more and more, we're getting very close to 100% of all our energy sold out of our renewable generation. So, you know that we have natural gas cogeneration, but more and more selling less volumes to the market. And very quickly, we will be 100% electricity generation produced out of biomass renewable generation. So, these are the 2 things that we should be doing.
Antonio Redondo: Before passing to Fernando, I'm going to make a comment and ask Nuno, I'm going to put my head and memory, I asked Nuno to correct me. But within this -- and this links actually to the EUR next-generation funds because we are increasing by the end of this year, early next year. We are increasing significantly our solar production for self-consumption. So, we moved from 12 to around 40 megawatts peak. And we have started the installation of a new biomass boiler in our tissue mill in Vila Velha de Rodao. So it just reinforces what Nuno said that we are moving ahead with our decarbonization and at the same time, reducing the cost of our operation.
Jose de Araujo: Regarding incentives, as you have mentioned, we have to receive more or less EUR 100 million. We have already received EUR 43 million. And this includes the advanced payments that normally are around 33%. In addition to that, we should ask on the proportion of the investment. This means what we are asking now, it’s more or less where we are. We are at going forward of 40% more or less. And in the next month, we will ask one more installment again, but it’s related with the progress on the project side.
Operator: [Operator Instructions] And our next question comes from the line of Antonio Seladas from AS Independent Research.
Antonio Seladas: I have three. First one is related with the pulp prices that according to my figures, went down sharply from the second to the third quarter, if you can confirm it? Second question is related with wood prices. So, I don't know if you can describe how the environment is now and compare with the environment just before the rally on wood prices. And last one is related with your investment in tissue in U.K. I think that we -- or at least I'm waiting for some more news in terms of integration. So, more production of tissue instead of just converting. So, I don't know if you want to say something about it.
Antonio Redondo: Thank you, Antonio, for your 3 questions. Let me just rephrase to make sure that we fully understood them. The second one, I'm pretty sure I didn't follow. The first one is about pulp prices. In your view, pulp prices went down sharply from Q2 to Q3, and you'd like us to see if we were seeing exactly the same movement?
Antonio Seladas: Exactly. And second question is wood prices. So, wood prices that have been -- that increased a lot last year and 2 years ago and how is the environment now? And last question is related to -- and last question is related to your investment in tissue in the U.K. We are -- or I'm waiting for more news in terms of integration of namely producing mills that produce tissue instead of just converting. So, I don't know if you want to talk about it.
Antonio Redondo: Okay. Again, I will make quick comments on the 3 questions, and I'll ask Joao and Nuno to comment in more detail. Let me start with the last one. If you are waiting for those news, I can assure you that we are working hard to deliver news. And whenever we have news to deliver, be sure, we will deliver them. But you probably know that at the same time, we have today a significant amount of number of projects undergoing in the company. Our teams are fully dedicated to conclude those projects. Some of them that we have already alluded, they have a timeline to finish that we cannot move -- target that we cannot move. So, we are working to give you some news, but it's yet soon to give any specific news. Regarding pulp prices, we see exactly what we saw. Pulp prices went down sharply, particularly in China, less sharply, but still went down in Europe. And of course, our situation reflects what the market has seen. Regarding wood prices, this is probably more complicated to explain. Overall, in the world, we still see a significant inflation in wood costs. We believe this is the case in Latin America. We believe this is the case in Asia, where there is a clear scarcity of wood long term at least. And this is the case in Europe, namely, and those are figures that you can easily find out publicly. The wood costs in Poland in actually all East European countries, but Poland, Slovakia, probably on top, as well as the increase of wood costs in Scandinavia is quite significant, quite significant. In Portugal, I think we are looking more to a stability of wood prices. Let's not forget that prices from '16 to 2023 increased in Portugal book. The prices that we pay at mill gate increased in Portugal over 40%. By memory, 42%, 43%. So in '24, we see stability, and we are planning for stability in '25. But the pressure on cost inflation is there. So, we work hard to try to keep the prices stable, but there is pressure, namely in wood, as I said, in Scandinavia, Eastern Europe, Latin America and Asia for a significant inflation in wood costs. So, I'll ask Nuno to comment 1 and 3 and Joao to comment 2.
Nuno Santos: On the third question on the potential investment on adding new capacity for producing tissue paper, I can especially confirm the part of what Antonio mentioned. We are working hard. That part I can confirm, not so much about it now. On the pulp prices, just a bit of -- in Europe, in fact, Q2 and Q3, the average price on those 2 quarters are more -- are the same. So EUR 1,365. They are basically more or less the same prices. Yes, in Q4, the expected average price will be around EUR 1,100, so showing the decline that you mentioned that we are seeing. Actually, in China, if we compare this to China, we've seen a sharp decline from Q2 -- Q2 to Q3 and then Q4. Roughly, they came from EUR 720 to EUR 650 and maybe around EUR 570, EUR 560 now, okay? Those are the pulp prices that we're seeing. Joao?
Joao Cabete Goncalves Le: Okay. In terms of wood prices, I think Antonio said the most of it. We don't expect any major changes in terms of the prices from the different origins. And in fact, this year, we are facing an average price lower than the one that we had in 2023. So, this is due mostly from the mix -- wood mix in the different origins that we have and not as much recurring from the price evolution. So in a word, despite all those production costs that were mentioned by Antonio and this aggravation of those costs, we don't foresee any major changes in this quarter, Q4. And for the next year, we hope we also can deal with a different mix that would -- even the prices more or less for -- in comparison with the ones that we have this year.
Antonio Redondo: And Antonio, your question about the development of a new project, I think raises an interesting question that I’m going to share figures that typically we don’t share, but I think it helps you to understand how deeply involved this company is in engineering. This is an engineering house. Without counting yet with our U.K. business, so counting only with our Iberian mills, we are undergoing today 278 CapEx projects, so 278 CapEx projects. So, that might be substitution of obsolete, modernization, efficiency, a completely new project like the new recovery boiler or the new bleaching plant in Setubal. So in total, they are, at the same time, 278 projects. On top of these 278 projects, maintenance CapEx, we have 1,789 projects. So, you can appreciate the amount of effort our engineering and production teams are doing by delivering this amount of projects. So, we need to define priorities, of course.
Operator: There are no further questions from the conference call at this time. So, I hand the conference back to you.
Ana Canha: We will end our session. Thank you all for your time. As always, we are available for any additional clarifications through our usual contact. Have a great day.